Operator: Good afternoon and welcome to SeaChange's Fiscal Second Quarter 2021 Conference Call for the period ended July 31, 2020. My name is Diego, and I'll be your operator this afternoon. Joining me for today's call is the Company's Chief Executive Officer, Yossi Aloni; Chief Commercial Officer, Chad Hassler; and Chief Financial Officer, Michael Prinn. After the market closed, SeaChange issued its financial results for the fiscal first quarter of 2021 in a press release, a copy of which is available in the Investors section of the Company's website at investors.seachange.com. To accompany today's call, the Company has made available its prepared remarks along with a supplemental slide deck, both of which are posted in the Investors section of SeaChange's website. Management encourages you to download the slide deck, if you haven't done so already. Before we begin today's call, I'd like everyone to please take note of the Safe Harbor paragraph that is included at the end of today's press release. This paragraph emphasizes the major uncertainties and risks inherent in the forward-looking statements that management will be making today. As we have indicated, forward-looking statements are based on management's current expectations, and are subject to a number of risks and uncertainties that may cause actual results to differ materially from expectations. These risks and uncertainties are also outlined in the Company's SEC filings, including its annual report on Form 10-K and quarterly reports on Form 10-Q. Any forward-looking statements should be considered in light of these factors. Additionally, this presentation contains certain non-GAAP financial measures as that term is defined by the SEC in Regulation G. Non-GAAP financial measures should not be considered in isolation from, or as a substitute for, financial information presented in compliance with GAAP. Accordingly, SeaChange has provided a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures in the Company's earnings release issued today. I would like to remind everyone that this call is being recorded and will be available for replay via a link available in the Investor Relations section of SeaChange's website. Now, I would like to turn the call over to SeaChange's CEO, Mr. Yossi Aloni. Sir, please proceed.
Yossi Aloni: Thanks, operator. Good afternoon and thank you for joining our second quarter fiscal 2021 conference call. As many of you know, the global COVID pandemic continued to present challenges for business worldwide. And while the crisis has dramatically transformed the TV industry in terms of content consumption, it also forced most TV providers to postpone their decisions for a few months in favor of supporting their existing operations and infrastructure. This was certainly the case for SeaChange customers and prospects in the first half of the year. This dynamic has impacted our business in the near-term. It's also generating new opportunities and growing interest in our framework solution, with a unique value-based engagement as TV providers look to reduce their operating expenses. Over the last decade, the television advertising industry has faced a steady decline in revenues to online digital advertising. This decline has been accelerated by COVID. While many associated increasing viewership with advertising revenue growth, the reality is that advertising revenue is dependent on supply and demand. With more people at home and industries like travel and retail scaling down their advertising investment, TV providers are finding it even more challenging to monetize their entire advertising inventory. The current linear TV ad placement workflow involves TV providers selling its spots with salespeople days prior the broadcast in order to enable playlist creation and delivery of the commercials. We’ve been efficient, person-to-person process concludes many hours and days prior the broadcast, resulting in approximately 30% of unsold advertising inventory. Growing amounts of unsold advertising spots reduces the value of the TV providers advertising inventory. This is where SeaChange comes in. Leveraging the millions of dollars, my predecessors invested in advertising technology. Earlier this year, we introduced the industry first end-to-end linear advertising management placement and ad insertion solution for both linear and on-demand TV, including support for real-time automated auctions and integration with demand side platforms. Our unique solution, allows TV providers to offer a web online like workflow for its advertisers with real-time dynamic and programmatic insertion, which enables the TV providers to both better monetize their ad inventory and win web centric advertisers. We believe our technology will change the TV advertising industry by enhancing providers' ability to monetize billions of dollars of unsold and underutilized TV advertising inventory. The introduction of our TV ad tech solution, which is based on a revenue share model, could not have been timelier as TV providers are actively looking for solutions to monetize available advertising inventory during this difficult time. We believe our early success and customer feedback reflects the industries unmet need for such a unique solution, and we look to build on distraction in the quarters ahead. Before I continue, I'm going to pass the call over to our Chief Commercial Officer, Chad Hassler to provide a brief overview on our go-to-market and sales. Then, our Chief Financial Officer, Mike Prinn, will walk you through our financial results for the second quarter and first six months of the fiscal year. Afterwards, I will share our outlook and then open the call for questions. Chad?
Chad Hassler: Thank you, Yossi, and good afternoon, everyone. As Yossi touched on, the health crisis continued to present significant headwinds to our sales and business development activities in the second quarter. Despite these obstacles, we were able to secure a solid win with a U.S.-based cable television provider for our Framework video delivery platform, bringing our aggregate total contract value to approximately $62 million at quarter end. We're actively working with this customer to deploy the solution, while simultaneously demonstrating the benefits of monetizing unsold advertising with the goal of expanding our scope of work in the coming quarters. While online video collaboration tools such as Zoom have allowed us to temporarily supplement in-person meetings, on-premise proof-of-concepts remain a critical step in our go-to-market strategy. These hands-on experiences allow us to demonstrate the value and capabilities of our platform to existing customers and prospects in a way that is not currently available to us online. These demonstrations proved to be incredibly effective, pre-COVID as evidenced by the 26 Framework wins we secured in fiscal 2020. However, while travel restrictions and work-from-home mandates globally have greatly limited our access to customer sites, our recently expanded partnership with Amazon Web Services in Q2 has opened up several new cloud opportunities, allowing us to circumvent the need for on-site access to certain prospects. In fact, this partnership led to a Framework win in Q3 with a leading international streaming provider. Partnerships like Amazon Web Services are incredibly impactful, because they allow us to cost effectively leverage other best-of-breed technologies to augment our already robust Framework offering. Looking ahead, we continue to believe our industry-leading solutions, disruptive value-based go-to-market strategy, and revenue-share business model will enable us to capitalize on the disruption in process and the accelerating demand for streaming services. Framework was one of the most effective tools for TV operators and content owners to improve their customer experience, while reducing their operating costs and enabling them to generate incremental revenue through advertising. As business activities continue to pick up, we believe our differentiated position in the market will translate to a much improved second half of fiscal 2021 and give us good momentum entering fiscal 2022. With that, I'll turn the call over to Mike to walk us through our financial performance for fiscal Q2, 2021. Mike?
Michael Prinn: Thanks, Chad, and good afternoon, everyone. Looking at our financial results for the fiscal second quarter and six months ended July 31st, 2020. We entered the second quarter with $21.5 million in Framework backlog, excluding legacy maintenance and support. We booked just under $1 million of new Framework business in Q2 and ended the quarter with backlog of $20.6 million. Total revenue for fiscal Q2 2021 was $5 million compared to $18.8 million in Q2 of last year. The year-over-year revenue decrease was primarily due to lower product and services revenue in the period as we continue to see the impact of the global pandemic. As Chad and Yossi mentioned, we signed one new Framework deal in Q2 of this year, which compares to six new Framework deals signed in Q2 of last year and the eight deals we averaged per quarter in Q2, Q3, and Q4 of last fiscal year. Total revenue for the six months ended July 31st, 2020 decreased 56% to $11.9 million compared to $27.3 million in the same year ago period. Again, the year-over-year revenue decrease was primarily due to lower product and services revenue in the period as both our first and second quarter of this year were significantly challenged with the global pandemic. Product revenue for fiscal Q2 2021 was $1.1 million or 21% of total revenue compared to $12 million or 64% of revenue in the same year ago period. Product revenue for the six-month period was $4.2 million or 35% of total revenue compared to $13.1 million or 48% of revenue in the same period last year. Service revenue for fiscal Q2 2021 was $3.9 million, or 79% of total revenue compared to $6.8 million or 36% of total revenue in the same year ago period. The decrease in service revenue was due to lower revenue from both professional services and support revenue from customers related to legacy products. As we've mentioned on prior calls, these declines are consistent with our expectations as we transition legacy customers to new Framework arrangements and transitioned our professional services organization to our customer engineering organization as we completed legacy professional services projects. Service revenue for the first six months of fiscal 2021 was $7.7 million or 65% of total revenue, compared to $14.2 million or 52% of total revenue in the same period last year. The decrease in service revenue for the six-month period is due to lower revenue from both professional services and support revenue from customers related to legacy products. Revenue from our international markets in fiscal Q2 2021 was $3.3 million or 67% of total revenue, which compares to $9.1 million or 49% of total revenue in the same year ago period. Revenue from our international markets for the first six months of fiscal 2021 was $7.9 million or 66% of total revenue, which compares to $14.2 million or 52% of total revenue in the same year ago period. Revenue in our U.S. market for fiscal Q2, 2021 was $1.7 million or 33% of total revenue, which was down from $9.7 million or 51% of total revenue in the same year ago period. The decrease in revenue from both the U.S. and international markets was due to a reduction in bookings, primarily attributable to the COVID-19 pandemic. Revenue in our U.S. market for the first six-month period of fiscal 2021 was $4 million or million or 34% of total revenue which was down from $13.1 million or 48% of total revenue in the same year ago period. In terms of customer concentration, for the second quarter of fiscal 2021, we had two customers that accounted for 22% and 11% of our total revenue compared to two customers in Q2 of last year that accounted for 20% and 10% of our total revenue. Looking at our margins. Gross profit for fiscal Q2, 2021 decreased to $1.8 million or 36% of total revenue from $10.9 million or 58% of total revenue in the same year ago period. The 36% gross margin in the fiscal second quarter of 2021 was a result of only closing one Framework deal during the period. As I talked about previously, our business model and cost structure had the ability to drive gross margins in the low 70% and above as you saw in Q3 and Q4 of last year. However, in order to achieve that margin level, we need to generate more product revenue from Framework deals. Gross profit for the first six months of fiscal 2021 decreased to $4.3 million or 36% of total revenue from $13.8 million or 51% of total revenue in the same year ago period. The 51% gross margin last year was a result of a much higher product revenue as a result of the six Framework deals that we sold in Q2 of last year. Product gross margin for the fiscal second quarter of 2021 was 26% compared to 75% in Q2 of last year. Service gross margin was 39% compared to 29% in Q2 of last year. For the first six months of fiscal 2021, product gross margin was 43% compared to 70% in the same year ago period. Service gross margin was 33% compared to 32% in the same year ago period. Looking at our expenses, non-GAAP operating expenses for the fiscal second quarter of 2021 decreased 30% to $6.9 million from $9.9 million in Q2 of last year. The decrease reflects the continued cost savings initiatives related to the reduction of third-party costs and elimination of nonessential internal costs throughout our organization. As we've communicated previously, in response to the COVID-19 pandemic in late April, we shifted our business operations to further reduce our operating expenses and to better align our strategy with current market conditions. These actions included establishing additional cost optimization measures in addition to the ones we made last year. Non-GAAP operating expenses for the first six months of fiscal 2021 decreased 28% to $14.6 million from $20.3 million in the same year ago period. The decrease reflects the cost reduction measures I just described. GAAP loss from operations for fiscal Q2 2021 totaled $6.2 million from a loss of $659,000 in the same year ago period. As a percentage of total revenue, GAAP loss from operations for the second quarter of fiscal 2021 was negative 124%, which compares to negative 3.5% in the same year ago period. GAAP loss from operations for the first six months of fiscal 2021 totaled $12.5 million from $9.3 million in the same year ago period. As a percentage of total revenue, GAAP loss from operations for the six months ended July 31, 2020 was negative 105%, which compares to negative 34% in the year ago period. Non-GAAP loss from operations for fiscal Q2 2021 totaled $5.1 million, or a loss of $0.14 per basic share compared to a gain of $991,000 or a gain of $0.03 per basic share in the same year ago period. As a percentage of total revenue, non-GAAP loss from operations was negative 102% compared to 5% in Q2 of last year. Non-GAAP loss from operations for the first six months of fiscal 2021 totaled $10.3 million, or a loss of $0.27 per basic share compared to a loss of $6.5 million or a loss of $0.18 per basic share in the same year ago period. As a percentage of total revenue, non-GAAP loss from operations was negative 86% compared to negative 24% in the year ago period. GAAP net loss for fiscal Q2 2021 totaled $5.8 million, or a loss of $0.15 per basic share compared to a loss of $174,000 or a loss of $0.00 per basic share in the same year ago period. GAAP net loss for the first six months of fiscal 2021 totaled $12.3 million, or a loss of $0.33 per basic share compared to a loss of $11 million or a loss of $0.30 per basic share in the same year ago period. Non-GAAP net loss for fiscal Q2 2021 totaled $4.7 million or a loss of $0.12 per basic share compared to a gain of $1.5 million or a gain of $0.04 per fully diluted share in Q2 of last year. As a percentage of total revenue, non-GAAP net loss was negative 93% compared to 8% in Q2 of last year. Non-GAAP net loss for the first six months of fiscal 2021 totaled $10 million or a loss of $0.27 per basic share compared to a loss of $8.2 million or a loss of $0.22 per basic share in the same period last year. As a percentage of total revenue, non-GAAP net loss was negative 84% compared to negative 30% in the same period last year. Turning to the balance sheet. We ended the quarter with $9.8 million in cash and cash equivalents and marketable securities, which is the same amount we had at the end of the first quarter. As part of the CARES Act, and specifically the payroll protection program, we were eligible and received a loan of approximately $2.4 million. We do expect to qualify and receive forgiveness for most of the loan at the end of the measurement period. But until that point, that loan is reflected on our balance sheet, both the current and long term portion. Deferred revenue at quarter end was $5.1 million compared to $6.2 million from the prior quarter and compared to $9.2 million at the end of Q2 last year. The year-over-year decrease was primarily due to the decrease in legacy revenue as that part of the business accounted for most of the deferred revenue. DSOs excluding unbilled receivables was 162 days at the end of the second quarter, compared to 155 days at the end of the prior quarter and 55 days at the end of Q2 last year. The increase in DSOs was a result of the lower-than-expected revenue in the first quarter, and we expect to be able to reduce the DSO number in future quarters. Unbilled receivables were $21 million, which compares to $22.7 million in the prior quarter and $12.1 million in Q2 of last year. Unbilled receivables remained relatively stable from last quarter, due to the lower-than-expected revenue in the second quarter, and the increase from Q2 of last year is a result of the transition to the new Framework business model in fiscal 2020. In terms of guidance, the effects of COVID-19 have been longer-lasting than we initially expected, but we are seeing an increase in sales related activities over the last month. Based on our current pipeline of opportunities, customer discussions and engagement, we expect to generate growth from the first half of the year compared to the second half of the year. In summary, the decisive measures we have implemented since March and continue to execute on have optimized our cost structure, enhanced our liquidity position and resources and positioned us to ensure SeaChange emerges from the pandemic in a strong financial and operational position. This completes my financial summary. For a more detailed analysis of our financial results, please refer to today's earnings release, as well as our 10-Q, which we plan to file tomorrow afternoon. Yossi?
Yossi Aloni: Thanks, Mike. As we enter the second half of the fiscal year, we are encouraged by the increase we are seeing in customer engagement, as TV providers are looking to better control their operating expenses and expand their streaming services. Our revenue backlog, expanded pipeline of opportunities, customer acceptance of our advertising solution and industry-leading platform, give us confidence in an improved second half of the fiscal year. We believe, the initiatives we are executing on today will not only result in the stronger mid-term momentum, but position us for even greater success in the years ahead. Our leadership team and Board continue to have the utmost confidence in our strategy, which will put SeaChange in the best possible position to execute on the opportunities in front of us and deliver profitable growth over the long run. That concludes our prepared remarks. We are ready to open the call for questions. Operator?
Operator: Thank you. Ladies and gentlemen, at this time we will conduct our question-and-answer session. [Operator Instructions] Our first question comes from Steven Frankel with Colliers. Please, state your question.
Steven Frankel: Good afternoon. Yossi, I wonder if you might clear up a couple of things for me, first of all. So, I heard you talk about one Framework win. And then, you said there was another win that was related to the Amazon partnership, but that doesn't seem to be reflected in the bookings and the size of what we typically think about a Framework win, doesn't look like it's in the bookings for this quarter either. So, could you square all that for me?
Yossi Aloni: Yes, Steve. So, the joint win with AWS was won after the quarter end. Since the quarter end, we’ve had better progress than in the first half -- than in the first part of the year. Now that operators and TV providers are starting to go back to the office, even though it's somewhat limited at this stage. We are gaining more traction. And, again, the AWS joint win was won after the quarter end and therefore, you don't see it in the bookings.
Steven Frankel: Okay. And what about the bookings being less than $1 million in the quarter, even though you had a Framework win, was this just a smaller account?
Michael Prinn: Yes, Steve, it was. So, last year, the 26 Framework wins, I think the average was $2.1 million. And, obviously, Q1 and Q2 have been a little more challenging. And so, the one Framework win was kind of less than $1 million in terms of size.
Steven Frankel: Okay. And Yossi, you've been very optimistic about this advertising opportunity. When do you think you might see the first revenue from that?
Yossi Aloni: So, it's going to take a few months. We are in process of deploying our solution already. Again, you do not see that as wins on our balance sheet at this stage or the bookings. It's going to take a few months. As I said, we are in process of deploying with meaningful partners or meaningful operators, if you will. And I think this is going to be sooner than later, again, a few months, not a few weeks.
Steven Frankel: And just to clarify, you have agreements signed today that would give you a rev share around this product once this product gets installed or you got to get it installed, up and running, prove it and then like people have share agreements?
Yossi Aloni: So, Steve, we will share much more on our Q3 activities in our Q3 earnings call. And you should expect that we will share more information on our advertising solution at this stage.
Steven Frankel: Okay. And then, you talked about some reductions in expenses. So, how much further can total OpEx fall in the back half relative to where you were in Q2?
Michael Prinn: Yeah. So Steve, we had $6.9 million in non-GAAP OpEx, which was about 30% decreased from last year and 10% sequential. We'll see a little bit more in OpEx. There are some variable components. So, where we know we're going to have reductions, I think with a better sales in Q3, in Q4 that will be offset a little bit with some variable compensation. And then the other piece is some of the cost reductions that we've been doing are actually up in the cost of goods sold line. So, we -- at the end of -- finished at the end of July, kind of, there was a 22-person technical support team in Waltham, and that's been transitioned to Warsaw. So, you'll see some significant expense reductions, but that piece will be in cost of goods sold. And so that in terms of percentage points, I'm not sure if I could quantify it, because you know how our margin works with the number of perpetual deals we win in the quarter, but you'll definitely see a decrease in the fixed cost and cost of goods sold and then a little bit of continued reduction in the non-GAAP OpEx.
Steven Frankel: Okay. I just want to make sure, because -- I apologize if I'm confused again, but it sounded like some of the components because of variable payouts, some of the components of OpEx are going to be up sequentially or up in the back half, but you're saying that total dollar value of OpEx in the back half should be higher or lower than the true $6.9 million you had in the quarter?
Michael Prinn: Yeah. It should be probably around flat to a little lower.
Steven Frankel: Of $6.9 million?
Michael Prinn: Yes, the $6.9 million. So, second half will be lower than the first half, and I think you'll see a little bit of a decrease in Q3 and Q4.
Steven Frankel: Okay. Thank you.
Operator: Our next question comes from Jaeson Schmidt with Lake Street. Please state your question.
Jaeson Schmidt: Hey, thanks for taking my questions. I just want to follow-up on some of your comments in the script -- seeing sort of an increase over the last month. Wondering, if you could sort of expand on that, I mean, does that seem to be broad based? Is this just more engagements or customers coming out as a whole or is the actual sort of POs?
Chad Hassler: Hey Jaeson, this is Chad.
Yossi Aloni: Go ahead Chad. No, no, please go ahead Chad.
Chad Hassler: I was just going to say, we've seen an increase in customer activity over the course of the last several months. Things have been picking up much better than it was in the first half of the year. As far as POs, we can obviously discuss a little bit more from that perspective in the Q3 earnings. But we had shared with you a recent win that we had in Q3. But at the bottom-line, I think that what the customers are doing is beginning to reengage. Some of the activities that were prior, being focused on the network activities are now being shifted a little bit into the video space. So, we are starting to see an increase in activity from a number of customers.
Jaeson Schmidt: Okay, that's helpful. And then, how should we think about the conversion timetable from backlog to new from backlog to revenue recognition. So, sort of that revenue backlog of let's call it $21 million. How should we think of that flowing through the P&L?
Michael Prinn: Yes. So, the $21 million backlog, there is a very small piece that might have been kind of what I'll call product related. So, I think we've mentioned out of the 26 deals we won last year, a couple of them want to get the deal done. There might have been just some hurdles for revenue recognition like an acceptance piece or a milestone piece. So, you got a little bit of product revenue, but most of it is the five-year support agreements. And so that will be amortized ratably. I guess the average deal size or deal length last year was 4.3 years. So, you're basically going to take probably 80% of that backlog 80% and that ratably over the term of the support agreement.
Jaeson Schmidt: Okay. And then just the last one from me, it sounds like the framework deal this past quarter was smaller than last year's average. But have you seen any sort of significant reduction in the size of deals from customers just given the macro backdrop?
Yossi Aloni: The answer is no. It's probably going to be similar this year. This was the deal that we won in Q2 was a deal -- a project that we were planning to win, in fact, in Q4 of last year. It was delayed. This is -- it was delayed for various reasons. But the projects that we are actively working on today are in similar value to what we did last year.
Jaeson Schmidt: Okay, that’s helpful. Thanks a lot guys.
Michael Prinn: Thanks Jaeson.
Yossi Aloni: Thanks Jaeson.
Operator: Thank you. At this time, this concludes our question-and-answer session. If your question was not taken, please contact SeaChange's IR team at seac@gatewayir.com. I'd like -- I'd now like to turn the call back over to Mr. Aloni for his closing remarks.
Yossi Aloni: Thank you, Diego. Thank you all for joining our call. We appreciate your support of our mission and confidence in our ability to achieve it. Stay safe, and we look forward to speaking with you again soon. Have a great evening.
Operator: Thank you. Thank you for joining us today for SeaChange's fiscal second quarter 2021 conference call. You may disconnect your lines at this time. Have a good day.